Operator: Good morning and welcome to FMC Technologies First Quarter 2008 Earnings Release Teleconference. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. In the event of technical difficulties during this call, we will post updates at www.fmctechnologies.com/earnings. Thank you. Your host is Rob Cherry, Director of Investor Relations. Mr. Cherry, you may begin your conference.
Rob Cherry - Director of Investor Relations: Thank you operator. Good morning, and welcome to FMC Technologies first quarter 2008 earnings conference call. Our press release and financial statements issued yesterday can be found on our website. During our call, we will reference earnings from continuing operations, which excludes results from businesses that we exited in 2007. In 2007 we exited a small FoodTech product line. Historical results have been revised to reflect these operations as discontinued. I would like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current views and assumptions regarding future events, future business conditions, and the outlook for us based on currently available information, these forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. I refer you to our disclosures regarding risk factors in our Annual Report and our other SEC filings. I will now turn the call over to Mr. Peter Kinnear, FMC Technologies President and CEO.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Good morning. Welcome to our first quarter 2008 conference call. On the call with me today are Bill Schumann our CFO, John Gremp who heads Energy Systems and Charlie Cannon, who runs our FoodTech and Airport Systems businesses. I will give you some highlights on our fourth quarter and update on our outlook for 2008, and then Bill will provide you with additional details on our financial performance and update on the spin-off of FoodTech and Airport businesses and finally will have a... open up the call for questions. We have begun 2008 with another strong quarter. We continued to build our energy system backlog and have increased operating profit margins across all businesses. Our diluted earnings per share from continuing operations of $0.62 was up 38% from the prior year quarter. This amount included non-operating charges of $0.07 which Bill Schumann will discuss later. Sales in our energy systems group increased 35% and its backlog reached a record... a new record of $4.6 billion. Operating profit in Energy Production segment was up 53% and in Energy Processing it was up 30% over the first quarter of '07. Let me give you a little more detail on our energy segments. Energy Production revenue was up 40% from the prior year quarter on the strength of both our subsea and surface wellhead businesses. Subsea revenue was a record $699 million, up 47% from the prior year quarter. Even with the record revenue we were able to maintain subsea backlog at $3.9 billion. As for profits in Energy Production, we increased the operating margin in the first quarter to 11% as we often state margins in this segment can vary from quarter-to-quarter as they are influenced by the mix of our projects. We continue to maintain a target of around 11% for the full year. Turning to energy processing segment, revenue was up 18% from the prior year quarter. Our fluid control business including WECO/Chiksan remains solid with sales up 9% from the prior year quarter. This was the growth rate that we had expected given the anticipated service company activity in North America for the first half of '08. All three of the other product lines in energy processing which include measurement, loading systems and material handling at quarter-over-quarter sales growth of 20% or more. As for the profits in energy processing, we increase the operating margins in the first quarter to 19%. Let me now return to subsea, our largest and fastest growing business. In the quarter we saw our order value per subsea tree award increase above the $19 million level that we reached last year. Our product mixed is always going to influence this metric. In quarters with greater order activity of projects with new subsea infrastructure or subsea processing, the metric obviously will increase conversely when the activity involves more of our alliance agreements or step-out wells with minimal infrastructure, this metric may decrease. The long-term trend, however, is clearly towards more complex subsea systems and more equipment being deployed on the seabed. We're confidence that FMC will be able to leverage its technology position and customer relationships to capture our fair share of this growing business. I mentioned before that subsea processing is one of the areas where there is potential for order value growth. As you know, we've won five subsea processing awards since late 2005 including all four of the subsea separation projects awarded in that timeframe. The first of these projects, Tordis, has been operational since January. Several of these processing projects will come on stream over the course of the next 12 months to 24 months. We believe that we'll demonstrate to the industry the viability of subsea processing. As we look out over a three- to four-year time horizon, we're tracking 10 to 12 potential subsea processing projects. These projects are in the major deepwater basins and will be operated by both international oil companies and national oil companies. Looking at our overall subsea business for 2008 and beyond, we are optimistic about the strong activity resulting from our alliances and frame agreements by conservatisms [ph] we recently announced with LLOG and Devon. From our macro perspective on the market, we're very encouraged with the 75 plus number of new deepwater additions over the next four years, that will add over 35% capacity to develop future subsea fields and will support a secular growth trend that we believe exist for subsea systems. Also supporting this trend, our new deepwater discoveries like the ones found in Brazil, Tupi, Jupiter and Carioca offshore presume [ph]. In a near-term we see 2008 as another year of solid growth in subsea. As we execute our record backlog, we continue to expect comparable revenue growth to 2007. This means sebsea revenue of over $3 billion for 2008, and we also anticipate some increase in our subsea backlog. So in summary, sales in Energy Systems increased 35% and its backlog reached a record $4.6 billion. Operating profit in Energy Production was up 53%, Energy Processing was up 30%; the end result was that 38% increase in diluted earnings per share from the prior year quarter. We are increasing our guidance for diluted earnings per share from continuing operations to a new range of $2.80 to $2.90. And with that, let me turn the over now to Bill Schumann who will provide you further financial details on the quarter.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Thanks Peter. Let's look at some of the highlights from operations. Energy production sales were $854 million in the first quarter, up 40% over the prior year, primarily due to the growth of subsea which is up 47%. Surface well had also contributed to the revenue growth. Energy production segment generated EBIT of $95 million in the quarter, up 53% from the prior year quarter. It's operating profit margin of 11.1% for the quarter benefited from improving mix of projects. As Peter stated, we still expect segment margin for the full year to be around 11%. Inbound orders in Energy Production were $913 million, up modestly from the prior year quarter. Backlog of $4.2 billion was also up modestly compared to last quarter with subsea backlog at $3.9 billion as subsea inbound kept pace with subsea revenue. Energy processing sales were up 18% over the prior year quarter. The segment generated EBIT of $39.2 million in the quarter up 30% over the prior year quarter. The operating improvement was the result of higher volume and higher overall operating margins. As Peter mentioned, fluid control sales were up 9% from the prior year quarter. Measurement loading systems and material handling our essentially are Energy Production... our energy infrastructure businesses; all had record first quarters for sales and profit. Inbound orders for Energy Processing were up 29% from the prior year quarter primarily due to our recently announced order in material handling systems. Backlog at $385 million is up 16% from the prior year quarter. FoodTech revenue of $147 million was up 21% from the prior year quarter primarily due to Latin American poultry equipment volume and operating profit was $13.1 million, up 35% on the higher volume. Airport Systems revenue of $108 million was up 49% in the quarter mainly on deliveries of ground support equipment. Operating profit of $7.6 million was up 145% over the prior year quarter on the higher volume and the ability to leverage our overhead. As for the corporate items, other expense net of $26.2 million increased $22.7 million from the prior year quarter. The increase was driven by a $13.5 million non-cash mark-to-market charge associated with foreign currency forward contracts. This compares to a $4 million benefit in the first quarter of 2007. The majority of this charge in the first quarter was related to foreign currency forward contracts associated with the Pazflor contract. In that contract, the customer wanted to pay us in U.S. dollars but most of our costs are in Norwegian krone. So we entered into forward contracts to protect the economic value of the contract. Under our accounting practices, we differ the charge that changes in spot foreign currency rates until the termination of the hedge. But we record in the income statement the difference between spot rates and forward rates, sometimes called forward points. These forward points fluctuate with interest rates. The decline of U.S. short-term rates by over 200 basis point in the quarter, caused the forward points on these contracts to decline resulting in a charge of $13.5 million. We are economically hedged on our Pazflor contract and these charges are temporary. The charge will reserve itself back into income over the next few years as the contracts progress towards maturity. Moving onto the tax rate, our tax rate for continuing ops in the first quarter was 32.2% which was in line with our expectations. We continue to maintain a small net cash position, net cash of $25 million in the quarter. We spent almost $90 million in the first quarter to repurchase approximately 1.6 million shares of common stock. Since initiating our repurchase program, we've repurchased a total of 18 million out of our total buyback authorization of 30 million. We averaged 132 million shares outstanding in the first quarter. We spend $47.1 million for capital additions in the quarter mainly in the Energy Production segment to fund Light Well Intervention systems. Our outlook for full-year capital spending is now $165 million. And as Peter mentioned, we are increasing our guidance to $2.80 to $2.90 for the full year 2008, excuse me. This guidance is for FMC Technologies as we're now configured and includes FoodTech and Airport systems. It does not include any costs that we might anticipate incurring for the spin off. Approximately 86% of the net income in this guidance is from our Energy Systems businesses. The efforts to spin off our FoodTech and Airport systems business are progressing on schedule. We expect to file a Form 10 shortly and are working on a financing facility for the new company. The spin is subject to effective SEC registration a tax-free ruling from the IRS, financing, and a final decision from our Board of Directors. So in summary, we reported a strong quarter at earnings of $0.62, up 38% from last year's first quarter. Our Energy Systems backlog is again at record levels. Subsea revenue was a record $699 million, up 49%; Energy Production and Energy Processing segments operating profits were up 53% and 30% respectively from the first quarter of 2007. And we've increased our 2008 guidance from earnings from continuing operations to a range of $2.80 to $2.90, again excluding costs associated with the planned spin off. So with those comments, operator you may now open up the call for questions. Question And Answer
Operator: [Operator Instructions]. And your first question comes from the line of Kurt Hallead with RBC Capital Markets.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Good morning Kurt.
Kurt Hallead - RBC Capital Markets: Guys guess what my first question is going to be? Looking at your margins for the quarter 11%, taking to 11% for the year guidance, my thought here was that you have some higher value kind of products and backlogs that could go through; they are just kind of trying to gauge here on how to look at the progression as you get through the year given the backlog in December [ph]?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Kurt, this is Will Schumann, and I apologize, I am struggling with my voice a little bit today. We really still expect full year to be at about 11%. We had a good mix of projects in the first quarter; we don't expect that to continue throughout the year. So I think... our guidance to would be... to stay 11% for the full year. We'll probably had some quarters in which we are below 11% and hopefully some quarters in which we're a little above. But I think the full year average of around 11.
Kurt Hallead - RBC Capital Markets: Okay. The... when you look at the order flow for the year, you provided some du-point here about subsea revenue being $3 billion for the year. You kind of look at your perspective book to bill on subsea which you think that your book-to-bill will comfortably exceed one or... is there a chance that your order rates may slow a little bit this year given the big wins that you've had through the course of the back-half of '07?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: No, I think our initial outlook, which I mentioned; I... we think our order rate will match our revenue rates so that we will have maintain a backlog, we will slightly increase it at the end of the year in terms of subsea.
Kurt Hallead - RBC Capital Markets: Thank you very much. And then I appreciate whatever question I had for you as I noticed in your release, you got an order for some power generation plant in Energy Processing. I was wondering if you might be able to provide a little bit more color on that and whether or not is that a new business lines that you have [ph] seen that before and if it is, what kind of opportunities do you foresee.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Well this was for a new coal plant... coal fire plant... electric plant in Illinois and we've always had this business... our material handling business is really in two segments, we make some products for conveying systems and we do this systems themselves and this is for a coal handling system that will convey the coal to the... our plant facility. So as you know the industry does add some coal powered plant facilities for electricity around U.S. and so this is more of those opportunities where we were able to secure pretty good order for us.
Kurt Hallead - RBC Capital Markets: Do you think this is lumpy or do you see some continuation of these types of orders going forward?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: No it's pretty lumpy. We had an opportunity with TXU back last year where they were looking at expanding their coal-fired power plants and that didn't pan out. So it's kind of lumpy.
Kurt Hallead - RBC Capital Markets: Okay. Great. Thanks.
Operator: Your next question comes from the line of Bill Hubert [ph] with Simmons & Company.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Good morning.
Unidentified Analyst: Pete, a question for you with regard to the rate of change with respect to about the orders and inquiries on the part of clients with regard to subsea tree orders that are smaller in nature, call less than five trees?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Well, I mean we see a lot of activity with the smaller tree count type projects, Bill, in terms of what's happening in the marketplace and I think our two new alliances that we just signed up, LLOG and Devon are examples of smaller independent alchemies that have opportunities and want to... and maybe shallow water applications but want to get those wells tied back to existing facilities where they can make a very good incremental cash flow and return in those investments. So that market's has always been there. It's depended on rig availabilities and timing and that sort of stuff, it's a very... it a very nice market.
Unidentified Analyst: Would you hazard against as to their percentage of increase or the rate of change that you expect to see this year versus last year in terms of smaller tree orders?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: No that's pretty... I mean last year we had some fairly sizeable big orders and of course the first quarter we had some sizeable big orders for the industry. And it's... I think you see more operators looking at us, so you could make a case that that sector relative to the big projects might grow. I mean TMAX is another example where we got 12 fairly shallow water jack-up type trees and they are stepping out...TMAX is now stepping out into deeper water projects; they have three projects in the works that they are working on. So, now we are still very bullish on the secular growth and Subsea in terms of the technology that's helping the oil companies bring on incremental and new production.
Unidentified Analyst: Switching gears for a second here with regard to Subsea processing. You mentioned that you are tracking 10 to 12 potential projects or opportunities with regard to Subsea processing Can you describe in terms of what kind of scale and size that you are looking at; is it similar to like a Pazflor or are they smaller and also just remind us with regard to when Subsea processing is viewed as the most efficacious solution on the part of the operator, walk us through that please?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Bill just to answer your... I mean, first question, I am not going to give you the specific project details we are tracking. But I mean they are all... there in a... I mean I gave you the offshore Brazil, Gulf of Mexico, North Sea and some in the...
Unidentified Analyst: West Africa still?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: West Africa still, yes.
Unidentified Analyst: Yes. Okay.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: And they variance... they vary in size from $100 million to $700 million on a range. So... and we think the opportunity list is there. Anyway these opportunities just have to firm up.
Unidentified Analyst: Yes.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: We have said that max [ph], Tordis, for example, where you needed... have Tordis run 6 months to 9 months to... it's running fine.
Unidentified Analyst: Yes.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: To kind of demonstrate to the industry. Tordis as an example I mean it's operated by Statoil Hedro but Total is a partner, Exxon Mobil is a partner.
Unidentified Analyst: Yes.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: So... again the industry is going to quickly because of the structure where they have relationships with these projects, the industry's going to quickly see the benefit of subsea processing the sooner everything goes well.
Unidentified Analyst: Thank you. Pazflor too with all those partners being involved in...
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Right.
Unidentified Analyst: ... past quarters as well. But remind us in terms of what impels a customer, what impels a Total to say, we want subsea separation for a Pazflor rather than a more conditional solution. What is going on sub surface that impels a client to take that step?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes, well I can give you a Total, Pazflor driver.
Unidentified Analyst: Yes.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: They were concerned about formation of hydrates in their pipeline system given the pressure and temperature range of the oil, gas and water that were going to flow. And so they rather than risking that they fell it was economic to separate the gas out of the stream.
Unidentified Analyst: Yes.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: And then to... while they were putting that on the seabed, they also said well we can also put some multiphase pumps to increase the flow rate... production rate from those wells in addition. So there was kind of a combination of two things they had; technical issue with the formation of hydrates, and then the... as they were putting stuff in the seabed, they said we will line up with some pumps down there. So, other applications of the Shell... two Shell projects, those reservoirs have heavy crew with not much reservoir pressure to boost them and associated gas, and so they are putting submersible pumps on the seabed to pump it up but again they want to get the gas out of the stream so the pumps don't cavitate and so we are doing a separation... a seabed separation for Shell for two projects, on that project. So it kind of varies. And Tordis was a Brownfield application, these other three I just mentioned were Greenfield applications. So it's going to cost some map in terms of Brownfield, Greenfield, different geological conditions that require the separation.
Unidentified Analyst: With regard to the opportunities in Brazil and West Africa, are those mostly Greenfield?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: I would say Brazil... Brazil has similar issues to Tordis that... the fields are maturing, they are starting to produce a significant amount of water...
Unidentified Analyst: Yes.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: And what do I do... do I... did I bring all that water to the surface and separate it on our traditional floating separation unit which... my current separation system is maxed out in terms of throughput. Do I build another big floating structure or do I try to put something on the seabed that can separate around in the seabed and that's what Tordis did. They put... rather than spending out $1 billion dollars plus for another floating platform system, they installed on the seabed and felt that was more economical.
Unidentified Analyst: Okay, one last quick one. FX, I mean I know it's difficult on a quarter-by-quarter basis. But what would be most sensible approach from a modeling standpoint to account for FX going forward?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: I wish I could give you good sense on that Bill. Unfortunately this charge that we took and what we may take in the futures based on the difference in interest rates between... primarily between Norway and the US.
Unidentified Analyst: Right.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: And that will go away as we execute the Pazflor contract which is primarily going to be executed in '09 and 2010. So it's going to away in 2009 and 2010. in other words, just $13.5 million reverse. Frankly Norway just raised interest rates the other day a quarter of point. So I may get a little bit more in the second quarter but I think you know it's going to be noise. I think we've taken the biggest hit and you are going to see this $13.5 million kind of come back to us maybe 20% this year and then the remainder in 2009 and 2010.
Unidentified Analyst: Okay, great. Thank you very much.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Okay. Thank you.
Operator: Your next question comes from the line Rob Mackenzie with FBR Capital Markets.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Good morning Rob.
Robert MacKenzie - FBR Capital Markets: Hi guys. Question for you Peter.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes.
Robert MacKenzie - FBR Capital Markets: A little longer term on the subsea market and from our deep water rig analysis, it looks like Petrobras is... has almost a third of the total in contracted rig days in their book right now with huge numbers of rigs in the out years '09, '10, '11, '12, and so on. How do see your market share progressing over time from where it is today, obviously at a very high level. Do you think you can maintain that market share and secondarily, when do you see really the ramp in completions and/or tree orders, tree insulations coming from Petrobras given their rig schedule?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: A good question. First of all, we've been in Brazil since working as a supplier to Petrobras since 1962, I think. And have... they have [ph] a capability in country with about 850 employees at two large facilities, a large service base up in Locke [ph]. So from an infrastructure and an experience base working with Petrobras has been one of our major clients for long, long time. So we have an excellent reputation with them. We do a lot of... in addition to three work, we do a lot of work regarding manifold... subsea manifolds; we probably supplied about 80% of the subsea manifolds. We have very good technology relationships with Petrobras. We know they are interested in separation work and we're helping them in that arena. So to us Petrobras, some of these major finds [ph] and loading up in the rigs is all good news for us and I think we're very, very well positioned in Brazil to capture the growth that Petrobras is going to provide.
Robert MacKenzie - FBR Capital Markets: Okay. And where do you stand along those lines in capacity in Brazil and what percentage of your capacity you add, are you looking at expanding your facilities therein now?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Well we... we've... we... I think... you never remember, we have been expanding capacity globally; Brazil was in the mix of that. One of the things that we did not have a very good facility versus our high bay assembly in Test Pits, we submerge all our trees underwater to test them, gas test them at certain standard industry practice and we just finished tripling the size of our high bay assembly area. We were fortunate to buy about 10 acres next... right adjacent to our existing property to do that. And then we've supplemented our capacity down here with a number of machine tools and improvements in welding technology and things that we needed to do. So I think we're in pretty good shape, that factory has SAP software and from an execution standpoint. I think you've... we've mentioned before we've a global engineering database. So the engineering system we can... they can draw down worldwide datas in terms of components and best practices and so we're very well situated to participate in the growth in Brazil.
Robert MacKenzie - FBR Capital Markets: Okay. Thanks. Shifting gears a touch across the world, Statoil Norway... Statoil recently announced, I guess, the opening of a big test facility aimed at testing subsea compression, and even more rigorously one of the compressors obviously being the Siemens compressor. Can you comment on where that stands, where FTI fits in with that, given your alliance with Siemens?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes, I mean the... two things happened. They announced some investment and some more test equipment with some of the other operators in StatoilHydro slabs focused on compression testing. And so those investments are going in. We were happy to see our partner Siemens along with one other compressor gets... get selected that physically have their compressors tested. So that's positive and we have been awarded the... a contract by StatoilHydro for their Ossgard [ph] field to begin developing technology related to the control systems and related activities for their compressors at subsea. So we are starting to do that work. I think you may know or may not know but Ossgard [ph] field is one of the initial fields where Statoil may apply this compression technology to boost their gas production from that field.
Robert MacKenzie - FBR Capital Markets: And what kind of time frame would you think on that Peter, given... you are developing the control systems and technology for that now, when would you expect to have something to bring the market on that potentially to see, when could we see compression orders.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes, you are probably three years out, I would think, in that range.
Robert MacKenzie - FBR Capital Markets: Okay. Thanks. And then final question shifting segments a little bit, WECO/Chiksan, numbers came in first quarter roughly what you guys had talked about expecting. What trends are you seeing there in the order book for new capital equipment? Have we seen that start to turn the corner and ramp back up yet with expected recovery in US land market or is that still kind of in the consolidation phase?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Yes Rob, what we've seen is, in the first quarter our total sales of... WECO/Chiksan sales were about flat with fourth quarter 2007, but we've seen a little shift from there, we've got less capital equipment, we believe, in more replacement parts, more field inventory. So the activity level's still there, but the capital spending seems to have tailed off. Based on everything we read and see, that's going to change in the second half of the year.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes, I would now just add to that, for you Rob, the... we would think the unconventional gas plays are going to ramp up in the second half of the... the Barnett, Woodford, Fay Drill [ph], Appalachia, Bakken fields are really very active with the independence of Devon and at all are really... Chiksan peak [ph] are really pouring some investments there. And those types of wells are very intensive with the fracturing technology and they really chew up our parts. And so as you know this business about 75% of our volumes is spare parts. So with the rig... US rig count and the gas price levels, we anticipate a much stronger second half in terms of the WECO/Chiksan, side of the equation. We are still... new capital construction is still a little soft.
Robert MacKenzie - FBR Capital Markets: Okay. And just a final follow-up on that. Any... how does the demand look for your new pump, or your pump no longer new, I guess?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes, it's going fine. We... it's kind of... because we are... we have some pumps in the field where we are getting spare parts. The balance of our market... target market has to be new capital projects. So... and that's slowed down a little bit. But we get great reviews by the performance of the pump in the field. It's working fine and we... as soon as new construction comes back we will get out fair share of the market there.
Robert MacKenzie - FBR Capital Markets: Okay, thanks. I will turn it back.
Operator: Your next question comes from the line of Charles Minervino with Goldman Sachs.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Hi Chuck.
Charles Minervino - Goldman Sachs: Hi. Just wanted to touch on mortgage share a little bit. Obviously your market share for the new tree awards was probably a bit light... it was a bit light this quarter relative to kind of where you normally are and I know that's kind of... the big factor there is just when the tree awards takes place. But can you just give us an update on what your outlook is maybe for the remainder of the year, your plan on ending year similar to where you ended last year, or do you expect to be down a little bit. And then if you can just give us your outlook, just on the competitive environment here, what that maybe means for market share going forward?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes, I can do that. I mean... if you go back in history, I mean our market share has averaged just over 40%, and if you go to... no reviews off for you [ph] but in 2004 we were 47%; 2005, 39%; 2006, 34%; 2007, 51%. So the number jumps around depending on the awards of some large projects but our historical average has been just over 40 and we would think of a way we should be able to be close to that given the number of projects that we think are out there and what we think we will get.
Charles Minervino - Goldman Sachs: Okay. And then recognizing that trees are becoming less of a useful indicator for kind of the health of your business. Can you just give us a sense of the level of revenues that you are getting on projects that may be do not include trees and if you just can give us a sense of what the demand is like for those types of projects going forward?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes, I mean we have mix of things that... like manifolds I mean there's zero tree with the manifold and our manifold business, the average manifold is probably $40 million to $50 million, a big manifold is a $100 million in terms of complexity. So they can vary over the map... all over the map a little bit. And then you throw subsea processing, subsea separation technologies in there, lot of cases that can be 50%... like Pazflor, it was almost... maybe not 50% but 30%, 35% of the order value; should certainly skews the value per well. And then you got the other stream [ph], you got the small little job... that's a $2 million or $3 million with a simple tree on it that can pull the average down. So it really... and then also we have our Light Well Intervention revenue in that number, because of the subsea revenue. So for us we probably have a broader base and therefore the revenue per order value per subsea well for us is probably significantly higher than maybe some of our other competitors.
Charles Minervino - Goldman Sachs: I guess also just a follow-up to that. So when you look forward, would you say that the demand levels were the non-tree related product and services. Would you kind of say that that is equal to where it what last year, above, below? Can you just give us some relative metric there?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes. I'd say it was... it could be equal to... I mean in the last year we did have quite of bit of subsea processing in our particular mix, but I mean we see applications for new subsea manifolds that with no associated trees coming and so, the excess product are going about the same.
Charles Minervino - Goldman Sachs: Okay. Thank you.
Operator: Your next question comes from the line of Geoff Kieburtz with Citigroup.
Geoff Kieburtz - Citigroup: Good morning.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Good morning Geoff.
Geoff Kieburtz - Citigroup: I'd like to go back to Energy Processing for a second. You talked about the expectation of your rising demand and you are fully control in general. At what point would you expect to see that showing up in orders?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Geoff, particularly we've got checks in businesses. We don't run with much backlog, it's kind of a book in turn. We've inventory at a number of few locations. They call us up with ship at the next day and...
Geoff Kieburtz - Citigroup: Okay.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: And we track daily inbound in this business, because of...
Geoff Kieburtz - Citigroup: How about in terms of pump, would that have a longer lead time?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Yes, the pump... I mean it is more of a new capital item and it's going to have a longer lead time in terms of deliverables.
Geoff Kieburtz - Citigroup: So, I mean I am just trying to get a sense of when you sort of... would you expect to see the sort of pump orders coming in a quarter before capital equipment demand picked up or a couple of quarters.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Probably a couple of quarters in terms of lead time and the pump... depending if you had some thing that half way built to our inventory we can turn it quicker, but in general if we got a new pump order you talk of couple of quarters for delivering?
Geoff Kieburtz - Citigroup: In terms of fluid control rate revenue growing slower in the quarter than the overall Energy Processing it seems to me that that makes the margin performance in that segment all the more sort of surprising. Was there any thing might well... am I right in taking the total control segments got the higher margins and is there some thing...
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: No we had excellent performance out of the other three businesses. So measurement had great margins our loading systems and our material handling, all three businesses had very good margins in the quarter.
Geoff Kieburtz - Citigroup: Was that related to just volume growth and operating leverage or was there a mix?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: We had operating leverage in terms of volume and also we have been working to improve the performance... operating performance in those businesses in terms of getting more cost efficient and that was also played into it.
Geoff Kieburtz - Citigroup: Okay, see you feel like this very sustainable, this margin level?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Yes.
Geoff Kieburtz - Citigroup: Okay. In the Energy Production Systems, you mentioned a couple of times mix in terms of the margin performance. Is there a dimension of mix that it was particularly important in the strong margins? Was it customer, was it the product category, was it... I don't know you had a high amount of something, what was it?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Well, we happen to be executing some contracts and have a lot of execution contracts with high margins in the quarter. It's really not associated with any region. We happen to have some change orders that were positive sometimes. We entered into a change discussion with our customer. They agreed to it but they didn't sign it. We expense it in one quarter and we get the revenue, when they actually signed the contract. There was one of those that was significant, where it was large I will say a change order. But we also have probably hundreds of change orders every quarter. But it just... I mean we just had an excellent quarter in terms of performance. There isn't one thing that we can point to that says that was the unique thing that happened during the quarter.
Geoff Kieburtz - Citigroup: Do you have visibility built, I mean kind of going into the quarter did you have a sense that it was going to be a strong margin quarter or is this something that's sort of happens over the course of the quarter?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: It happens over the course of quarter. One another thing we have done in may be Peter said that it's changed the attitude here but we have changed part of our compensation system from total EBITDA to EBIT as percent of sales. And so we focused on operating margins and we thought that was an area that probably needed a little bit more focus, may be that's helping. I think we just had an outstanding quarter. We'll probably we have another quarter below 11, as the year goes on but we are hopeful that we can keep them all right at this level.
Geoff Kieburtz - Citigroup: If I could just go back to an earlier question, to clarify how many projects do you generate revenue on where you don't sell any trees?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: I don't have a good answer for that Geoff. I mean we could maybe research it but, I mean we have over a 100 subsea projects that we are working on worldwide that we were all up every quarter in terms of performance and so, it's not like we are working on five projects. So, we know exactly. I mean it's a fairly complicated mix of projects and the percent completion, accounting recognition and all that sort of stuff takes a little bit of time to roll through the system.
Geoff Kieburtz - Citigroup: I guess, I was just looking for a kind of a ballpark is it, say 20% of the work you are doing is on projects which are not actually selling trees? Just you reference to the market share you have for manifolds in Brazil suggests that it would be generating some amount of revenue on projects that you are not selling trees into in Brazil.
John T. Gremp - Vice President, FMC Energy Systems: Geoff this is John. If you think about it, most... a lot of our revenue comes from some sort of relationship we have with the operator and almost in all cases we are selling some trees. So for example Shell in the Gulf of Mexico, we would have provided trees but as they need manifolds and jumpers and other things, we are selling that also. So...
Geoff Kieburtz - Citigroup: It just not be at the same time?
John T. Gremp - Vice President, FMC Energy Systems: Exactly.
Geoff Kieburtz - Citigroup: Yes, okay. And just a last question housekeeping; in the guidance of 280 to 290 you are calling the first quarter $0.62 or $0.63 or --
John T. Gremp - Vice President, FMC Energy Systems: $0.63, Geoff.
Geoff Kieburtz - Citigroup: Yes, $0.63 great.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: $0.62 plus the penny for the --
Geoff Kieburtz - Citigroup: Great. Thank you very much.
Operator: Your next question comes from the line of Kevin Simpson with Miller Tabak.
Kevin Simpson - Miller Tabak: Thanks. Let me get off the speaker here for a second. Okay, congratulations on a really good performance.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Thank you, Kevin.
Kevin Simpson - Miller Tabak: I wanted to talk about a couple of things; one, your revenue subsea was well in excess of my estimates and I just wondered if there is now a significant amount of separation in that number, with so many projects kind of getting farther along into their time?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: I mean there is some value coming. As you know, we do this percent completion so it's a little... and in any project that we start engineering on or by a piece of raw material, we have recognized revenue and profit on that. So yes, I mean as soon as we get an order, we start working on it, so we are adding value. Physically we haven't may be got all of those stuff assembled and shift out to door, but... so that from that standpoint it does add value.
Kevin Simpson - Miller Tabak: I am assuming that margins... separation margins would be lower that your more traditional business which would make the margin performance in the quarter that much more impressive?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: No. I think we have stated before that our... we set our separation margins for similar terms our normal margins.
Kevin Simpson - Miller Tabak: Okay, another kind of questioned looking out into... I know, we have just started this year but into next year. Do you have the capacity do you think to say do a 20% plus subsea revenue growth in '09? What are... if not, what you have to do to be able to get there?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: I mean, certainly we have commented before that. We have expanded all our subsea facilities around the world. We are putting brand new facility in Malaysia. We've put in significant service basis and we spent quite a bit of money on machine tools and highway assemblies to get our capacity at the end of last year up to around 300 and/or targeting to add another 335 trees to that by the end of this year '08. Now that that capacity is... obviously, we're not shipping at that level of trees, but their capacity is being utilized by making components associated with the subsea processing work we've have. And I'd say the board, our board has been very supportive of having capacity ahead of demand as a market leader in the subsea arena or so, and we're pretty flush with cash so we can... we have built, we upped our capital spending number this year from $150 million to $165 million. So it's not a problem and the expansion, I think we've spent about $750,000 per tree to do the last wave of capacity expansion. So it's not very expensive to do it and if we think the market continues to grow and we're tied on capacity, certainly we will pull the trigger and spend some more money.
Kevin Simpson - Miller Tabak: Okay, so no capacity constraints to continuation of very tight top line?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: No.
Kevin Simpson - Miller Tabak: And then two other quick questions. One for Bill, one I apologize I have missed it the other I don't think you said that you may have... I may have missed that too. Did you... could you say what is the revenue growth of surface was in the first quarter?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: I don't think I did. It was pretty attractive. It was between 15% and 20%. I don't have the number right in front of me Kevin.
Kevin Simpson - Miller Tabak: Okay, in that range.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Yes. Right.
Kevin Simpson - Miller Tabak: And I think you did say what we go [ph] checks in, I missed it [Inaudible]. Sorry about that.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: I am sorry, somebody correct me. The surface growth was 20% in the quarter.
Kevin Simpson - Miller Tabak: Okay. You can help yourself Bill.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: I can help myself
Kevin Simpson - Miller Tabak: [Indiscernible].
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: The flow line volume, just the WECO/Chiksan business, was flat from the fourth quarter to the first quarter.
Kevin Simpson - Miller Tabak: Okay, year-over-year still go up in the...
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Year-over-year was 9%.
Kevin Simpson - Miller Tabak: Up 9%. Okay.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Yes. Okay. One other thing that you've mentioned was, we think the other capital side is a little bit lower in the first quarter and the replacement parts is little bit higher.
Kevin Simpson - Miller Tabak: Great, Okay. Thanks that's it from me.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Okay? Thanks.
Kevin Simpson - Miller Tabak: Thank you. Good quarter.
Operator: Your next comes from the line of Dan Pickering with Tudor, Pickering Holt.
Dan Pickering - Tudor, Pickering Holt: Good morning.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Good morning, Dan.
Dan Pickering - Tudor, Pickering Holt: Peter I thing I heard you say in your prepared remarks that you expect the subsea business to growth at about the same pace in '08 as it did '07, in terms of revenues. And then one of the earlier questions, you talked about a $3 billion revenue rate for the business. That would be I think pretty substantially higher than kind of flattish year-over-year growth. I am just trying to see if you are validating the $3 billion number on the subsea side?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Dan, we are validating that. I think our subsea business last year grew 27% or 28% and I think the $3 billion is in the low-30s. I mean it's comparable.
Dan Pickering - Tudor, Pickering Holt: Okay alright. And then could you talk just a little bit about the cost side of the equation. I mean steel is up here. How protected are you contracts that you have signed? Is that going to be a margin item for you guys to watch out for in '08 and '09, are you protected there?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: I think we are pretty well protected. I mean our process is to only bid a large job if we think its going to be... the bid will be outstanding for some period of time which happens frequently in West Africa in some of the large projects. We will get quotes from our vendors, then we will pre-escalate those quotes for if we think they are going to go up another 6% or 7% for and we are going to hold the bid open for nine months. We will put that into our price going into the contract and then in the contract itself we will have escalators for labor and raw material in the contracts. So I think we are pretty well protected in that process and we always get bid from our vendors and so and we always try to obviously lock them into their quoted prices, so that we never get into the situation where we have escalating costs that we can't cover.
Dan Pickering - Tudor, Pickering Holt: Right. Okay and then I might have missed it, did you talk about the actual tree deliveries for FMC and for the industry this quarter?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: In terms of what we inbounded, FMC inbounded 33 trees in the quarter. I think Qwest put out some preliminary information and I am not sure what they had assumed for FMC but. I mean our process right now we are going to announce our quarterly tree inbound at our conference calls and then give the detail data to Qwest after that.
Dan Pickering - Tudor, Pickering Holt: Got you. Okay. And then on the Food and Network side I guess, I assume you are somewhat limited in what you say at this point, but I think, Bill you mentioned in the guidance of $2.80 to $2.90 that that was 86% energy which I think implies that's about $0.40 for the airport business which says that, we stay kind of at these current levels for the remainder of the year. Is that... am I reading things correctly there?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Yes. They really had an outstanding first quarter. Their first quarter is normally weak particularly in the airport business. But you saw the numbers. I think airport was up close to 150% over the previous year. So, but your math is correct. They are $0.40, $0.41 of the total.
Dan Pickering - Tudor, Pickering Holt: Okay, got you. And one last question for you Bill, you have talked about mix a number of times. It sounds like this change order issue may have been one of the drivers that helped improve the quarter. But generally do we still think about when we look at the Energy Production Systems business, do we generally think about the non-subsea business as higher margin than the subsea for the next for the remainder of the year?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Do you mean the surface business?
Dan Pickering - Tudor, Pickering Holt: Yes I mean every thing else in that category.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: The surface business still has higher margins on sales in the subsea business that's correct. It flips around, when you look at return on capital in the subsea business actually has higher returns on capital because of the advance payments that we receive and the lack of inventory that we have to carry.
Dan Pickering - Tudor, Pickering Holt: Got you. Thank you
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Okay, thanks.
Operator: Your next question comes from line Joe Gibney with Capital One.
Joseph Gibney - Capital One Investments: Good morning. Most of my questions have been answered. Just a quick follow up on the labor. I know you mentioned... you indicated the CapEx ramp a little bit in the quarter relative... most of that allocated to the light-well side. Just curious if you could give a little bit of color on your results to-date on your existing contracts and may be expectation for new units or basic growth I guess as we look at the light well initiative, I appreciate it.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Joe, this is Peter. We have had one unit operational since early '06, with StatoilHydro and the two other new units that we have contracts for, the second one of StatoilHydro is being constructed now, and then we have one for BP in the UK sector in the North Sea and that one is also being constructed. We anticipate those two new units to be going into the service late summer, with those customers. Those contracts are multiyear contracts. I think ones with options for extensions and so we have at the end of... towards the end of this year we will have three units operational, all in the North Sea. Parts of interest, in West Africa and other areas, where the market is growing, normally you have to have a mature field where, the light... the intervention occurs every six to eight years in that time frame. So, some of the younger wells certainly are still flowing fairly well and don't need any intervention. But we are optimistic that market continues to grow. I mean the trick for us and other people associated with intervention is you are not going to built the specialized piece of equipment and deploy a specialized converted vessel on a spot basis. I mean that's a pretty risky business. So, we are looking at trying to market to consortiums of all companies that might want to share our light-well intervention system and that sort of thing. So, we are still pretty optimistic that the market can grow, absorb additional units as it continues to grow.
Joseph Gibney - Capital One Investments: Alright I appreciate. I'll turn it back. Thanks.
Operator: Your next question comes from the line of Ken Sill with Credit Suisse.
Kenneth Sill - Credit Suisse: Good morning guys.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Good morning Ken.
Kenneth Sill - Credit Suisse: Just a couple. One on the mark-to-market contracts, I obviously missed that memo, because operating you did great. Is that something that we kind of estimate by tracking what happens with U.S. rates or is it more what's going on with U.S. dollar versus the Kroner?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: It's really related to the difference between U.S. interest rates and Norwegian interest rates to be real specific. Most of these contracts are dollar, Kroner forward contracts associated with our pass forward [ph] contract Ken.
Kenneth Sill - Credit Suisse: So, if rates converge would you expect to be kind of reversing that...
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Yes, if they were to go back to where they were in December, when we put these contracts on, the 13.5 would be reversed.
Kenneth Sill - Credit Suisse: And is there any expectation of reversal in your guidance?
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: A little bit, not due to interest rates but due to the fact that as these go towards maturity, we also get the 13.5 back if you will.
Kenneth Sill - Credit Suisse: So over time that's going to come back in that.
William H. Schumann III - Senior Vice President, Chief Financial Officer and Treasurer: Yes, yes.
Kenneth Sill - Credit Suisse: Okay and then just an unrelated question, at least in my opinion it seems kind of amazing that we really heard nothing out of WECO since it got back by GE I guess, and Kerr [ph] has won some more. But could you talk about competitive behavior of those two players, we don't hear much about them, since they are not really talking about it separately like you and Cameron but what do you guys do out of those people?
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: I mean that's a good question, we don't see too much either some regards. I mean we know they are focused on internal process improvements and we see them advertising for Six Sigma-type people and Lean manufacturing expertise. They... they won one contract for BP in Norway, but they have been relatively quite. They acquired Hydro, absorbing the Hydro BOP business under that umbrella too so and they... I mean GE bought property that needs to be fixed up. I mean they were sixth owner and I said this before the sixth owner in twenty years and a lot of people left under the ABB [ph] regime and that was on my calendar for a while and I saw that to GE so. But we not see too much either really.
Kenneth Sill - Credit Suisse: So you wouldn't expect them to be making much inroads in market share in the near future, kind of status quo in market share.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: If you'd step back and look at GE, I mean strength have come from technology and their... we don't think that they are price cutter that entered the business. I mean they like to make money and they use technology as their primary strength. So you have to see how that unfolds.
Kenneth Sill - Credit Suisse: Okay. Thank you.
Operator: Your next question comes from line of Brad Handler with Wachovia.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Good morning Brad.
Brad Handler - Wachovia Securities: John I would like to ask you about a little bit. Sorry that it's so open ended but just wondering about high pressure, high temperature wells and I guess that's subject to definition as well. But if we think, we are pushing towards 600 degrees Fahrenheit and 30,000, 40,000 pounds of pressure I guess, ultimately would you be willing just to talk a little bit about development behind trees to and equipment to support that kind of condition and then, so how far along you are, how relevant it may be over the next three or five years, that kind of stuff?
John T. Gremp - Vice President, FMC Energy Systems: Brad this is John. We are definitely seeing interest particularly in the Gulf of Mexico with regard to higher pressure trees, in fact some enquiries, not formal enquiries but informal enquiries about where we're in development of 20K systems. And we're progressing along well. We've a lot of the components qualified to 20K and now we're working directly with the operator, so that we understand exactly where to take the next level of development. So there is absolutely interest out there and we're working directly with industry on preparing for it. Exactly when, I am not sure. We know that there is drilling and some prospects where they anticipate they could be at 20K pressures. So it wouldn't be too far.
Brad Handler - Wachovia Securities: Okay. John that's helpful. So you've highlighted pressure. Is temperature relevant to design issue for you guys as well?
John T. Gremp - Vice President, FMC Energy Systems: No, it's an issue as well. Just that I've gotten more interest on the pressure right now, but I think we're at the upper levels of the temperature range as well. So I think that both can important going forward.
Brad Handler - Wachovia Securities: And do you aspect as you guys have often had a lot of the R&D work kind of to hate for if you will by your relationships with industry. Do you suspect you are going to work the same way? Do you suspect that consortia of clients will kind of help fund the development of the higher pressure trees?
John T. Gremp - Vice President, FMC Energy Systems: I think it will happen the same way it's happened in the past, the tree of projects is identified in the course of development of the equipment for that specific project. It gets funded through the project.
Brad Handler - Wachovia Securities: Very good. Thanks guys.
John T. Gremp - Vice President, FMC Energy Systems: Thanks.
Operator: Your final question comes from the line Rob MacKenzie with FBR Capital Markets.
Robert MacKenzie - FBR Capital Markets: Thanks, mine was asked and answered.
Peter D. Kinnear - Executive Vice President and Chief Operating Officer: Okay, thanks.
Operator: And there are no questions at this time.
Rob Cherry - Director of Investor Relations: Thank you, Operator. This concludes our first quarter conference call. A replay of our call will available on our website beginning at approximately 2 PM Eastern Time today. If you have any further questions please feel free to contact me. Thank you for joining us today. Operator this concludes the call.
Operator: This concludes today's FMC Technologies conference call. You may now disconnect.